Operator: Good morning, and welcome to the Interpublic Group Third Quarter 2022 Conference Call. All parties are in a listen-only mode until the question-and-answer portion. [Operator Instructions]. This conference is being recorded. If you have any objections, you may disconnect at this time. I would now like to introduce Mr. Jerry Leshne, Senior Vice President of Investor Relations. Sir, you may begin.
Jerry Leshne: Thank you. Good morning. I hope you’re all well. This morning, we are joined by our CEO, Philippe Krakowsky; and by Ellen Johnson, our CFO. We have posted our earnings release and our slide presentation on our website, interpublic.com. We plan to begin our call with prepared remarks to be followed by Q&A. We plan to conclude before market open at 9.30 Eastern Time. We’d like to remind you that during this call, we will refer to certain non-GAAP measures. We believe that these measures provide useful, supplemental data, that while not a substitute for GAAP measures, allow for greater transparency in the review of our financial and operational performance. To better align with the language in our financial statements, we will use the term revenue before billable expenses, as well as the more familiar net revenue interchangeably. They are identical measures and there has been no change to the method of calculation. As you will recall, billable expenses in revenue are offset dollar for dollar in our operating expenses and therefore have no effect on our results of operations. We will also refer to forward-looking statements about our company. These are subject to the uncertainties and the cautionary statement that is included in our earnings release, and the slide presentation and further detailed in our 10-Q and other filings with the SEC. At this point it is my pleasure to turn things over to Philippe Krakowsky.
Philippe Krakowsky: Thank you, Jerry, and thanks for joining us this morning. I hope you're all keeping well. As usual, I'll start out by covering the highlights of our performance in the quarter and the nine months. Ellen will then provide additional details and I'll conclude with an update on our agencies and the tone of the business, to be followed by your questions. We're pleased to report a strong third quarter and nine months. Third quarter organic growth was 5.6%. That's on top of a very strong 15% growth a year ago, and it brings our three-year organic growth stack over the period of COVID to 16.9% in the third quarter. Over the first nine months of the year, our organic growth was 8.2% on top of 12% a year ago, which brings three-year growth to 15.7% for the first nine months. Those three-year numbers continue to lead the industry. We once again posted growth across our US and international markets. Domestically, organic growth for the quarter was 4.4% on top of 14.7% in last year's third quarter, and organic growth in our international markets was 7.8%, highlighted by growth in every region of the world and that was on top of 15.4% growth a year ago. Our growth in the quarter was also broad-based across our portfolio whether viewed by segments, agencies or marketing disciplines. Each of our segments compound double-digit growth a year ago. Our media, data and engagement solutions segment grew 3.8% organically, which adds to 15.9% growth last year. Performance here was led by double-digit increases at IPG Mediabrands, while two of our digital specialist agencies decreased from a year ago, and are weighing significantly on the segment. At our integrated advertising and creative led segment, organic growth was 6.7% on top of 12.8% growth last year, and we had growth in all of our largest agencies with clear leadership again, this quarter by IPG Health, followed by McCann Worldgroup. In our specialized communications and experiential segment, organic growth was 7.8%, highlighted by double-digit growth in our experiential solutions across Jack Morton, Octagon, as well as Momentum, along with solid single-digit increases in the public relations discipline. This result builds on the 18.5% growth in the segment that we saw last year. Across client sectors, our growth in the quarter was led by health care, retail, financial services, our other sector of industrial and public sector clients and our auto sector. Turning to operating expenses and margin. Our results again continue to reflect the strong cost discipline, exercised by our operating teams, as well as our ongoing investment behind key growth areas. As you know, our comparisons to last year reflect the ins and outs of the pandemic, so we continue to drive margins at levels that are well above seasonally comparable pre-COVID periods. Net income in the quarter was $251.8 million as reported. Our adjusted EBITA was $356.2 million, resulting in net revenue margin of 15.5%. As expected, that's below last year's third quarter, when our growth had accelerated at a rate that was well ahead of hiring and when certain variable expenses were still at low levels, due to the effects of the pandemic. Compared to a year ago and under our organic growth of 9.1% over the trailing 12 months, headcount has grown approximately 7%. Variable expenses have recovered to higher levels as well as we've resumed travel and return to office in far greater numbers. Our diluted earnings per share in the quarter was $0.64 as reported and $0.63 as adjusted for intangibles amortization, restructuring adjustments, and our net dispositions. Under our share repurchase program, we authorized earlier this year we repurchased 2.6 million shares in the quarter. We're gratified that our ability to deliver marketing and media solutions, which bring together creativity, technology, and data continue to drive growth with existing clients as well as new client wins. The growth you're seeing is driven largely by these very relevant capabilities, which can solve for an expanding set of marketer needs for more precise, personalized, and accountable engagements with their audiences at an individual level. The strength of our company is bringing talented people together in our client-centric model to create customized solutions that meet these higher order client needs whether those engagements are led by one of our powerful agency brands or through a collaborative IPG Open Architecture team. These strong and relevant offerings are important for our long-term future as well as at this moment of heightened macroeconomic and geopolitical uncertainty. The current environment is making visibility more challenging. But given our strong year-to-date performance, we are upgrading our expectation for organic growth for the full year to 7%. With growth at that level, we expect to achieve adjusted EBITA margin of 16.6%. Notwithstanding this update to our outlook, we are seeing a more challenging macro environment going forward. On a question following our last call, you'll remember that I mentioned some clients were asking us to help them scenario plan and think about how they might best redeploy media and marketing investments in the event of a downturn. The majority of our clients are now asking us to engage in this kind of contingency planning, prioritization of activity, and a focus on actions that will drive performance in sales. To a lesser degree, we are also seeing some deferrals of digital project work. Historically, we know that marketers that continue to invest through the cycle come out ahead in the long run with measurable gains in market share and growth. These days that's a conversation that's ongoing with many of our clients who also know that given the duration of past downturns, reductions are generally short-lived. At IPG, our differentiated resources of creative and marketing talent, data and technology, as well as outstanding agency brands along with our diversified and flexible business model and proven management teams position us well. You can expect that we will hold true to our history of managing effectively even in more challenging times, while also continuing to invest in and advance our offerings for success in an increasingly digital economy. We are of course staying close to our clients and to our people. And on that note, I'd like to close this part of my remarks by recognizing and thanking our people for their focus and their work on behalf of clients in support of each other and also for their engagement on the many vital societal issues that are consistent with our culture and values. So, at this point, I'm going to hand the call over to Ellen for a more in-depth view of our results.
Ellen Johnson: Thank you. I hope that everyone is well. I would like to join Philippe in the recognition of our people and add my thanks to them. As a reminder, my remarks will track to the presentation slides that accompany our webcast. On slide two, our increase in total revenue, which includes billable expenses, was 3.8%. Our third quarter revenue before billable expenses net revenue increased 1.5% and organic growth was 5.6%. We grew organically across all regions. The three-year organic stack in the quarter through the pandemic period is 16.9%, which demonstrates a historically strong momentum. Third quarter adjusted EBITA was $356.2 million with margin of 15.5% on net revenue. Diluted earnings per share was $0.64 as reported and $0.63 as adjusted. Adjustments exclude the after-tax impacts of the amortization of acquired intangibles a restructuring adjustment and a non-operating gain from dispositions of certain small agencies and a business investment. We repurchased 2.6 million of our common shares during the quarter worth $73.7 million bringing share repurchases to 7.1 million through the first nine months of the year. Turning to slide three to see our P&L for the quarter. I'll cover revenue and operating expenses in detail in the slides that follow. On slide four, we present net revenue in more detail. Our net revenue was $2.26 billion in the third quarter of 2021. Compared to Q3 2021, the impact of the change in exchange rates was negative 3.6% with the dollar stronger against currencies in nearly all of our international markets. The impact of net divestitures of certain small non-strategic businesses was negative 50 basis points. Our organic increase was 5.6%. The result was net revenue of $2.3 billion in this year's third quarter. Further down the slide, we break out segment net revenue performance. Our media, data engagement solutions segment grew 3.8% organically on top of 15.9% in the third quarter of 2021. As you can see on this slide, the segment is comprised of IPG Mediabrands, Acxiom, Kinesso and our digital specialist agency. At one end of the spectrum, IPG Mediabrands grew at a double-digit rate organically. While the other ends we experienced softness at R/GA and Huge, which weighed on our results both at the segment and IPG level. Organic growth at our integrated advertising and creatively led solutions segment was 6.7%, which was on top of 12.8% a year ago. As a reminder, this segment is comprised of IPG Health, McCann MullenLowe, FCB and our domestic integrated agencies. Our growth in the quarter was led by a strong increase at IPG Health, and solid growth at McCann. At our specialized communications and experiential solutions segment, organic growth was 7.8%, which compounds 18.5% in last year's third quarter. This segment is comprised of Weber Shandwick, Golin Jack Morton, Momentum, Octagon and DXTRA Health. We were led by double-digit increases in our experiential solutions and had mid-single-digit growth in our PR discipline. Slide 5 presents an organic change of net revenue by region. In the US, which was 66% of net revenue in the quarter, our organic increase was 4.4%. That is on top of 14.7% a year ago and was driven by disciplines and agencies, across the range of our offerings. We were led by IPG Health, IPG Mediabrands, Mediahub, Jack Morton and Momentum. International markets were 34% of our net revenue in the quarter and increased 7.8% organically. That is on top of 15.4% a year ago. Continental Europe increased 4.7%. We were led by growth across brands Italy, Spain and the Netherlands. Germany was down slightly in the quarter on top of 13% growth a year ago. The UK increased 4.9% organically. Our performance was led by media, experiential and IPG Health. Asia Pac grew 5.6% organically, with broad-based growth across our largest markets, including Australia, India, Singapore and China. Our organic growth in LatAm continued to be strong at 19.8%, which it's worth noting is on top of 20% growth a year ago. We grew across all of our principal markets, which include Brazil, Argentina, Mexico, Chile and Colombia. Our Other Markets group, which is made up of Canada, the Middle East and Africa grew 10.6%. We were led by double-digit growth in the Middle East and solid growth in Canada. Moving on to slide 6, and our operating expenses. Our adjusted EBITA margin on net revenue was 15.5% in the quarter, which as expected decreased from 16.3% a year ago. You'll recall that, last year's margin benefited from several transitory effects, which were due to both the sharp acceleration of revenue growth during 2021, and to the impact of the pandemic on certain operating expenses, which caused them to run at unusually low levels. These expenses include travel, meetings, and in-office work. You'll also recall that, our hiring significantly lagged behind our top line growth last year. I would point out that, our Q3 adjusted EBITA margin is well above the pre-pandemic third quarter of 2019, which was 14.7%. This slide depicts our principal expenses as a percent to net revenue this year and last year. As you can see, our ratio of total salaries and related expense as a percentage of net revenue was 67.4% in the quarter compared to 66.8% a year ago. Underneath the SRS result, we delivered – delivered on our expense for base payroll, benefits and tax, due to the hiring that is required to support our 9.1% organic growth over the trailing 12 months. Headcount increased approximately 7% over the same period. Going the other way, our expense for temporary labor decreased from a year ago, and our expense for performance-based employee incentive compensation also decreased significantly. At quarter end, our total worldwide headcount was approximately 58,500. Also, on this slide, our office and other direct expense was 14.3% of net revenue compared to 13.3% a year ago. We continue to leverage our expense for occupancy, which was 4.8% of revenue an improvement of 20 basis points from a year ago. All other office and other direct expense was 9.5% of net revenue compared with 8.3% a year ago. The comparison reflects the return of variable expenses that I referred to earlier as a result of increased levels of business activities so not fully up to pre-pandemic levels. Our SG&A expense was 0.8% of net revenue, a decrease of 60 basis points from a year ago. On slide 7 we present the detail on adjustments to our reported third quarter results in order to provide a picture of comparable performance. This begins on the left-hand side with our reported results and steps through to adjusted EBITA and our adjusted diluted EPS. Our expense for the amortization of acquired intangibles in the second quarter was $20.2 million. Our restructuring adjustment was a $5.8 million credit which here we have adjusted out of our results. Below operating expenses and shown in column five we had a net gain of $15 million due to the disposition of a few small non-strategic agencies and a business investment. At the foot of the slide you can see the after-tax impact per diluted share of each of these adjustments, which bridges our diluted EPS as reported at $0.64 to adjusted earnings of $0.63 per diluted share. Slide 8 depicts a similar set of adjustments for the nine months again for continuity and comparability. Adjusted diluted earnings per share is $1.73 for the period. On slide 9, we turn to cash flow in the quarter. Cash provided by operations was $65.6 million. Cash used for working capital was $276.1 million. Operating cash flow before working capital was $341.7 million. As a reminder, our operating cash flow is both highly seasonal as well as volatile by quarter due to changes in the working capital component. This is largely a function of the variability and the timing of our collections and payments. In our investing activities we used $36.4 million mainly for CapEx partially offset by the sale of a business investment. Our financing activities in the quarter is $209.8 million primarily for our common stock dividend and share repurchases. Our net decrease in cash for the quarter was $211 million and our cash position at quarter end was $1.77 billion. Slide 10 is the current portion of our balance sheet. Slide 11 depicts the maturities of our outstanding debt. As you can see on the schedule, total debt at quarter end remained at $3 billion. Our next maturity is April 2024 for only $250 million. Thereafter, our next maturity is not until 2028. Gross financial debt to EBITA as defined in our credit facility covenant was 1.7 times at quarter end. In summary on slide 12, our teams continue to execute at a high level and have us well positioned to deliver on our updated expectations for the year. I would like to reiterate our pride in and gratitude for the efforts of our people. The strength of our balance sheet and liquidity means that we remain well-positioned both financially and commercially. And with that, I'll turn it back to Philippe. 
Philippe Krakowsky: Thanks, Ellen. Our growth thus far this year builds on a record of success that goes back some time, and embedding digital across the portfolio as well as adding a layer of data and tech to our offerings have been important parts of that playbook along with our commitment to talent and strong agency brands. Now the convergence of media and entertainment with the impact of technology on the retail sector is leading to another major growth opportunity for brands. And that's the evolving world of commerce and direct-to-consumer business models. To-date, we've been successful in helping our clients creating engaging and effective customer experiences across a range of physical and digital environments. During the quarter, we took another important step along this journey when we announced our acquisition of RafterOne. The company is a leading Salesforce implementation partner that works with marketers and brands to deliver personalized content that engages and converts in a measurable, precise and repeatable way across a range of marketing technology channels. With over 25 years of experience building digital journeys for clients and with more than 500 employees RafterOne is a Salesforce Summit Partner and that's the highest tier awarded to implementation partners. By bringing IPG and RafterOne together we're significantly enhancing our commerce capabilities on a key marketing technology platform in both the B2C and B2B Salesforce cloud. Now RafterOne will continue to work independently with their own roster of clients as well as work directly with IPG agencies, bringing specialized commerce capabilities whether that's in strategy, service, data or CX implementation to clients across our entire portfolio. Commerce and other forms of business transformation work can be a significant growth driver for us going forward and the addition of RafterOne is an important step in rounding out our offerings in this space. Turning to highlights of performance across the group in the quarter, a key sector that continues to show strength is healthcare. Reputationally, we continue to be the leader in this dynamic sector. IPG Health won Healthcare Network of the Year in 2022 MM+M Awards. Collectively, our agencies took home 23 wins across 21 categories, making us the industry's most awarded network. During the quarter we launched IPG Health Medical Communications, which aligns eight agencies to create what we believe is the industry's most comprehensive and interconnected medcomms offering. And this type of specialized offering available to all of our healthcare clients is precisely the kind of benefit that we foresaw when we launched IPG Health just a little over a year ago. Importantly, the company's thought leadership and creative recognition also converted into growth as IPG Health continued to win new business and grow with existing clients including AstraZeneca, Pfizer, Teva and Boehringer Ingelheim. IPG Health was also a key part of a successful integrated media consolidation with Merck. In Mediabrands, we continue to see a high degree of engagement with many of the world's most sophisticated marketers. During the quarter we onboarded new clients including Nike, and expanded our relationships with Merck and Teva. Last week Mediabrands shared the fourth iteration of its Media Responsibility Index, which is proprietary research on the relative safety and fairness of media platforms. And this helps our clients make their media planning decisions in ways that are responsive to issues such as dis- and misinformation. Notably, we also promoted Eileen Kiernan, who is exceptionally client-focused and strategic naming her Global CEO of IPG Mediabrands. In this regard Eileen becomes the first female leader of a major media management group in the industry. Staying in the media space, as we see travel continue to bounce back, Celebrity Cruises just selected Mediahub as its media agency of record for North America. Acxiom played a significant role in this win as the teams will develop custom audiences through addressable media to power this client's highly personalized marketing efforts. During the quarter, Acxiom garnered recognition as a Great Place to Work with Fast Company naming it as one of the best workplaces for innovators and Fortune naming the company a best workplace in technology and a best workplace for women. As Ellen indicated, the performance of two of our specialist digital agencies has been challenged as a result of the macroeconomic uncertainty that we're seeing. Both of these agencies are in the midst of evolving their premium offerings, which is a requirement to stay ahead in their space. When it comes to the strength of our brands in the creative advertising space, McCann, FCB and MullenLowe continue to distinguish themselves. During the quarter, we announced a new global CEO from McCann, Daryl Lee, who has a remarkable breadth of experience that spans all facets of our industry and the full range of IPG. As such, Daryl is extremely well positioned to advance the success of the network and drive it to further achieve its ambition, which is to be the global leader of creativity that drives growth for clients. We saw several wins in the quarter at McCann including Beefeater Gin, McArthurGlen design outlets and Hankook Tire. The global Effie Effectiveness Index, named McCann Worldgroup, the most effective agency network for the fourth year running. And McCann was also named Network of the Year by the Gerety Awards, where an all-female jury rewards the highest standard of creative excellence in advertising and communication. At FCB, the creative network won new assignments with existing global clients including Kimberly-Clark, Clorox and AB InBev. And FCB's Global Chair and Chief Creative Officer was honored by the AEF, the ANA Educational Foundation with the Inspire Award recognizing her commitment to education and inspiring young talent as it makes its way into our industry. MullenLowe Group saw a number of new business wins in the UK market, winning the Co-op retail chain as well as Morgan Stanley, Value Retail and the Tic-Tac and Nutella candy brands. MullenLowe continued to be recognized as one of the industry's most creatively effective networks as well for the 11th year in a row was the top-ranked network scored dollar for dollar in the Effie Effectiveness Index. And during the quarter we also created a new integrated agency called iX, which is based in London to handle global, creative, strategy and advertising for new client Bentley Motors. Our agencies that specialize in live events continued their strong return to growth. The industry is seeing budgets shift from more traditional marketing for the kinds of engaging experiences that allow consumers to build emotional connections and lasting relationships with brands, often connecting the physical and digital space. And having three of the industries premier, global, sports and brand experience companies within our organization is a point of differentiation for Interpublic. Notable highlights in the quarter here and Octagon included the creation and management of Coca-Cola's, FIFA World Cup Trophy Tour, as well as a nationwide campaign highlighting the Home Depot's, 20th season sponsoring ESPN's College GameDay. Octagon and R&CPMK also worked with our Amazon client to kick off a campaign celebrating the launch of Thursday Night Football on Prime Video, and the athlete representation group within Octagon, negotiated an MLB record-breaking contract extension for Julio Rodríguez, with the Seattle Mariners, making it the largest in baseball history. At Jack Morton, we saw significant wins with clients like McKesson, Siemens, Intel, Cigna, Riot Games and McDonald's. The agency produced the Cadillac-US Open sponsorship at the US Tennis Center and brought to life several major events for the first time since the pandemic began, including auto shows, large retail activations and wellness conferences. At Momentum, the network was named Adweek's experiential agency of the year and brought Jimmy Fallon's, Tonight Show to Fortnite. Among our public relations firms, Golin won AOR duties for West Monroe, a Chicago-headquartered digital services firm. And the agency was also named as PR agency in the UK for Specsavers, the optical retail chain. While at Weber Shandwick new business included Bud Hero in North America and working alongside future brand and Jack Morton, as part of the DXTRA Health team Weber was awarded a significant brand launch by life sciences company PerkinElmer. Our US independence during the quarter, the Martin Agency stood out as it extended its run of new business by winning Santander, LegalShield, Bud Light NEXT, Bud Light Seltzer. Deutsche LA won Strava the number one, app for runners and cyclists and Carmichael Lynch, onboarded a new client in Hostess for our public relations remit. When it comes to our ESG programs, we continue to make notable progress during the quarter. We named our first Chief Sustainability Officer. We announced a new process for evaluating energy and fuel clients. And we once again released our domestic workforce data, which is a transparency commitment IPG established and has now become an industry standard. Our ongoing work in this area speaks to our commitment to embrace issues that are important not just to our people and our planet, but to our clients and other key stakeholders. For the year, we remain in a positive position from a net new business standpoint. Our net new business pipeline continues to be sound. Activity in new business does seem to be increasing, as we head into the new year. Despite a more challenging macroeconomic environment, as you've seen, our expectation is given our strong performance through the first nine months, we are upgrading our view to organic growth for the full year to 7%. As you know, this compounds multiyear sector outperformance. And current results combined with the continued execution of our long-term strategy, should remain significant drivers for sustained value creation going forward. Of course, given the macro, we're going to stay committed to sound financial fundamentals as Ellen was mentioning, and that's allowed us to grow our dividend for 11 consecutive years. And we are also committed to continuing our strong share repurchase program. We're confident as well that the investments in talent and capabilities we continue to make, position IPG well for the future with highly relevant and differentiated offerings, underpinned by the sound financial foundation and a strong balance sheet. As always, we want to thank our clients and our people who are both essential elements of our success and thank you, as well, for your time this morning. And at this point, let's open the call for questions. 
Operator: Thank you [Operator Instructions] And our first question is from Steven Cahall with Wells Fargo. You may go ahead.
Steven Cahall: Thanks. Good morning. Maybe first, Philippe, could you talk a little more about the deferral of the digital project revenue you talked about? Is this a lot of the project revenue that often comes in in the fourth quarter, or is this more of a kind of longer-term comment, reflecting the way clients are doing some of that contingency planning for 2023? And relatedly, when your clients talk about contingency planning and you see them maybe pulling back a little bit in 2023, do you think they're just shifting the way they go to market, or is that more of a sort of material slowdown in what they might spend on marketing? And then, I have a quick follow-up for Ellen. 
Philippe Krakowsky: I think, it's the shifting. I think it's just -- as I said, it's being prepared and having both line of sight into, how you're going to prioritize and where you're going to invest in order to drive performance. Given the macro, I think that on the project side it is -- I think it's a fourth quarter comment more than anything else. I think, what you are seeing is that it's wanting to retain some optionality. So my sense I think is that, we won't necessarily have clarity or full commitment on some of those projects until a bit deeper into the quarter than we usually would. And so, yes, I don't think we're talking about something that is -- it's a long-term trend. It's just a function of the current uncertainty.
Steven Cahall: Yes, makes sense. And then Ellen, it sure seems like the stock is not reflecting some of the strength in the business. I've got it at about 10 times earnings. You've got a really healthy balance sheet. I don't think there's much in terms of maturity until 2028. So, how do you and I guess, Philippe and the Board sort of feel about leaning more aggressively into the buyback now in a period of uncertainty as opposed to waiting until a period of rebound?
Ellen Johnson: Good morning Thank you for the question. We believe in our equity before the sell-off. So -- but we are very disciplined. We have a program that we execute against. We actively manage it, but it's a program. And so, I think we'll stick with it, but definitely believe in the value of our shares.
Steven Cahall: Great. Thank you.
Philippe Krakowsky: Thank you.
Operator: Thank you. The next question is from David Karnovsky with JPMorgan. You may go ahead.
David Karnovsky: Hi. Thank you. Just following-up on the commentary about clients' engagement scenario planning, Philippe can you just walk through a little bit more what that process looks like? Are clients looking to put kind of wholesale pauses into the motion in case the macro certainly gets worse, or is this more about shifting brand into performance or building a lot more flexibility to adjust across channels?
Philippe Krakowsky: Well, look, I think it's everything that you said, and it really depends on where in our world we're having the discussion, right? But, it's -- flexibility is a very big part of it at this point. And then, understanding the implications of the decisions you make and ultimately as I said, if it's a client where we're the adviser and the consultant on the media side of things then it does focus on where and how they're going to redeploy. If it's an Open Architecture client where we're working with them in a really broad macro sense then we might dial up certain capabilities knowing that we're heading into this moment in time. So, it's very kind of case dependent. And within some client categories are feeling it to a greater degree than others. I mean, I'd sort of point out that where the macro is impacting is, clients who are particularly exposed to the changes that we're seeing. So, if high interest rates impact your business, if commodity input costs impact your business then you're thinking this through. So there isn't one answer, but I think it's around that set of conversations just making the most informed decisions and getting the mix between brand and performance and up and down the funnel, and actually linking those two increasingly and keeping some optionality, as I said earlier.
David Karnovsky: Okay. And then, Philippe you noted continued strength in healthcare. Can you remind us of your clients' put there in terms of sort of large pharma versus biotech? And then, just with biotech, how should we think about maybe the medium-term outlook just given some of the kind of pressure that sector has seen in the public markets, or is it clients' own pipeline just really removed from the macro? Thanks.
Philippe Krakowsky: Sure. I mean in health, I'd sort of point out a couple of things. So, we're fortunate in that, we are very, very well represented among the largest players in the space. IPG Health clearly is - been a focus by the nature of what we've just done a year ago and how we've put that together. But it's been a long-term investment that has led to that growth for us, right? And then, there are trends -- underlying trends that are clearly tailwinds to all of that. We have some biotech, but we've got a very balanced portfolio. I'd say that specific to biotech have we seen the market dislocation have some impact on funding there? Sure. But is that something that's having a significant impact from where we sit given the breadth of what we do? Not really. And then beyond IPG Health, there's sizable health business inside of Mediabrands, inside of marketing services, PR is very strong in that regard DXTRA Health, where we're bringing a lot of the marketing services agencies together. So that continues to feel to us like it's an area that's going to be pretty resilient.
David Karnovsky: Thank you.
Philippe Krakowsky: Thank you.
Operator: Thank you. And the next question is from Michael Nathanson with MoffettNathanson. You may go ahead.
Michael Nathanson: Thanks. Philippe, I have two. One is it feels to us that the macro in Europe and the U.K. is obviously going to get worse through the winter. I wonder is the tone of business discussions different by geography there? So maybe talk about in terms of where are the questions are coming about budgets, Security to Europe. And then given the potential for slowdown in those markets, what are you doing on the cost side to initially plan where I know it's hard to -- if you had to take people out of capacity as it's slower. But what are you doing in thinking about just planning for budget expenses in 2023 and the growth of budget for 2023? Thanks.
Philippe Krakowsky: The impact definitely is not only disparate when you think about client sectors but you can see it in our results where we've got a really strong LatAm, Asia Pac, other markets, although everything does grow, every region was up. So there isn't a holistic answer that tells you what happens in each of those markets. Although clearly economically you have to assume that that's a region that's going to be heading into something before the rest of the world or maybe heading into something that other parts of the world don't experience. On the cost side we are very clear and we've been really consistent as to all of the ways in, which we can address those issues. So, whether you think about the fact that the model is flexible and that's clearly beneficial. Whether you think about the fact that you do approach some of those markets with the understanding that the underlying -- the ways in which you bring people on, and the ways in which you think about staffing are different in those markets just based on the local laws. And so we're very, very focused and disciplined around open reqs as we see change or more uncertainty in the macro and that's consistent across the board anywhere we operate. We look very hard at discretionary expenses. And clearly some of that has come back into the business in a way that I think is beneficial, because travel has meant seeing clients and getting together with colleagues. And some of those costs have also been around teams being together, which is important as we develop new capabilities. So we'll look at those. Freelance is another place we'll look. Our incentive plan by its nature is going to be a governor on some of that. But it definitely has our attention and it's just going to require execution. So there isn't a one size fits all, but Europe is definitely an area of focus for us.
Michael Nathanson: Okay. Thanks Philippe.
Philippe Krakowsky: Sure.
Operator: Thank you. Next is Ben Swinburne with Morgan Stanley. You may go ahead.
Ben Swinburne: Thanks. Good morning. Maybe just shifting away from the macro for a minute, unless you want to keep talking about it.
Philippe Krakowsky: Everybody else seems to.
Ben Swinburne: Right, exactly. On RafterOne and that business broadly Philippe, I know calling them system integrators is probably -- that's probably an old and limiting definition versus what they do today. But can you just talk about your strategy there and how big is that business? Any sense of the size and profitability of that business not RafterOne per se, but the entire IPG set of service offerings in what we might call software services, software integration. It would be interesting to hear. And I'd be also interested on experiential and sponsorship, which you highlighted a bunch of successes at Octagon and Momentum. That's an area where I would agree it seems like there's some secular growth. Is that an area you think the company may want to get bigger in organically or inorganically over time? I'd be interested on both those topics. Thank you.
Philippe Krakowsky: Sure. And I think commerce is an interesting one. I mean, you said software and obviously there's a technology layer at Acxiom, and then there's what we're doing with data and tech with media. So it's not by any means the only place where we've got businesses that are services plus a service -- a software layer of some kind. But on commerce I guess, I mean just breaking it down there's D2C part where clients need our help with everything from the design of a site, the build of a site, the content creation, the CRM piece and then business processes, because you often really have all the way down to payment transactional stuff. And for us the leader in that space has been MRM. So they excel in those areas. And so to our mind RafterOne meaningfully bolsters that offering. Then there's the marketplace side and so that's where we optimize media. We do SEO. We leverage social commerce and you're doing a lot of message amplification and you're finding places where you intersect with the consumer. And then that for us sits inside of Reprise Commerce. So that's a big part of the story for us there. So those are two sizable places where we've housed a lot of that capability. And it all comes together on this umbrella of IPG Commerce. And then what we do is we activate a company like ChaseDesign for in-store campaigns, or as you said a momentum for promotions and activations. But we also have specialist agencies and influencer management. For example, you have paid placements. And another big piece of it is going to be retail media. And so we're very active. You saw MAGNA put out a -- how big is this? How big is it going to get? And I think it's net going to be a growth area for brands and therefore for people who provide advisory services. So we kind of draw that from a number of our agencies. And then that's kind of the martech side of it. But when you follow the consumer along the purchase journey and you're going awareness purchase, but you're also going loyalty lifetime customer value then you wanted to play into Acxiom and the data that's there and you want to decide where and how you get martech and ad tech working together. So that's why I said we see it as a really big opportunity for us. And then on the experiential piece, when the pandemic hit, we scoped that for you all to say circa maybe a little bit shy of 5% of our revenue. And the world closed. So that was clearly a very difficult time for them. But we see that as something that is a differentiator for us collectively those assets. And the question for us is to get them more focused on where clients are going which is ROI and accountability and the digital component building out digital into -- and with those organizations, we think is going to make the nature of what they do more precise and more accountable. It's also a really interesting place to talk to clients about using all of that activity as a way to onboard first-party data about your customers in a way that's very, very transparent and therefore very, very compliant. So we do think that that's an area where there's the opportunity for growth for us.
Ben Swinburne: Thank you.
Philippe Krakowsky: Sure.
Operator: Thank you. Our next question is from Julien Roch with Barclays. You may go ahead.
Julien Roch: Yes. Good morning, Philippe and Ellen. Thank you very much for taking the question. Two, one for Ellen and one for Philippe. Ellen on net interest both Publicis and Omnicom said that that was fixed so no impact on interest expenses, while either higher interest met more interest income. What about IPG, same i.e. lower net interest? Could you quantify it? You have $1.8 billion of cash. Yield on cash went from zero to four, so $64 million benefits? And then Philippe, some agencies are saying that in case of a downturn some advertisers have learned their lessons from last couple of downturns and therefore we cut less. However, a recent survey from the World Federation of Advertisers polling 55 of the world's largest advertisers conclude that the economy will be the main driver of the budget next year for 74% of them, which would indicate they intend to cut the same. So if we go into a global recession next year, do you believe that advertisers would cut as in the past, or will they behave differently? Thank you.
Ellen Johnson: So I will start and thank you for the question. Good morning. Yes. As someone pointed out earlier, we do have a very strong balance sheet and lots of liquidity and we do sit with cash. We actively manage our cash maximizing interest income. We also have a very nice maturity profile with all fixed rate debt. So yes, I do believe it's a benefit. We can follow back up with you with some quantification, but it's something that all items on our balance sheet and liquidity we put a lot of time and energy and manage it very carefully.
Philippe Krakowsky: The bigger question, as I said in the prepared comments, it is a conversation that's ongoing with the vast majority of our clients. There is an understanding and an acknowledgment that there's a meaningful benefit to staying the course. We don't break this out for you, but our top 20 -- or say our top 40 clients have been growing consistent with the overall growth of the company, although there are lots of ins and outs, because as I said if you've got certain factors that are impacting your business or your business model disproportionately. And it's interesting because even supply chain we were talking about at the very beginning of the year with all of you and we said we don't see it -- we don't think it's in the conversations with clients. It might be later in the year and there are one or two categories where it's come into the conversation with clients. So I do believe that clients understand it and so it will be a function of where they sit, if their company has the wherewithal to move through the period and stay invested. And then the other thing that we've also talked about is the tools available to clients and the ways in which we and some of our competitors have capabilities that can move much further down into the funnel or can do -- as the question earlier alluded to can do work that connect brand and performance. So it really is dependent on how significant a downturn would we be looking at and whether people are in a position to do something that they know will benefit them in the long-term or whether they might have to take some action -- kind of corrective action to get through a period that might be more challenging for them.
Julien Roch: Okay. Very clear. Thank you very much.
Philippe Krakowsky: Thank you.
Operator: Thank you. Thank you. Our next question is from Tim Nollen with Macquarie. You may go ahead.
Tim Nollen: Good morning, everyone. Thanks a lot for taking my question. I'd like to actually ask the recession question again, if you don't mind, but in a different way. Let's ignore the Q2 2020 recession, because that was such a sudden weird thing. And let's go back to like 2009 or 2001 2002. In those days you were very much a traditional media business and now you're very much a digital media business doing lots of different things beyond measured media. And I wonder if you could help us understand maybe if we all assume that measured media spending might drop in a recession, perhaps at similar rates as it did last time around who knows, but you do so many other things right now. Is there a way to qualitatively or hopefully quantitatively assess what the spending might be with Acxiom, Kinesso on IT consulting all those sorts of things beyond just traditional media?
Philippe Krakowsky: I'm not sure that I can quantitatively assess. I mean I can point to some of the things we've been talking about. Health care likely a place that is more resilient, e-commerce and areas where you have line of sight to ROI and much more either clarity on that or ability to go directly to the consumer. I think those feel like they're going to be areas that are going to be less cyclical. Acxiom as you said, if you think about the fact that two-thirds of their revenue is long-term fixed fee contracts. And so those are all areas which we believe will stand up better when 2020 hit areas where we had a more consultative business model areas where we had more clarity around accountability and outcomes which also includes our media business. All of those fared better. And it's a big diversified portfolio. So -- that does mean to your point that you wouldn't, I think be looking at what we saw in 2008, 2009 independent of whatever, 2020 was which to your point is sort of super anomalous and still kind of having impacts all through …
Tim Nollen: Yeah.
Philippe Krakowsky: …every part of economic life right?
Tim Nollen: Yeah. Thanks, Philippe. And just maybe one point of quantification then could be that all these things you're talking about -- I mean I you probably have it in your slides. But this is half or more than half of all the business you do, right? The traditional measured media stuff is way less than half isn't it?
Philippe Krakowsky: Well, look, I mean that's a place where there have been times when folks in our sector said our digital revenue is x-percent, y-percent. And our point of view on that was always that it's so embedded into everything we do, because we try to go to market when we engage with clients with something that's integrated and something that solves for them and is right for their business that we then don't spend the time trying to unpick it. And so I can't give you a kind of a GAAP-compliant measure that gives you that number. But it is a substantial part of our business, but our deal is that's what drives growth. So if our organic growth is strong then you've got to assume that all of those things are a pretty big chunk of what we do.
Tim Nollen: Okay, great. Thanks.
Operator: Thank you. Our last question comes from Craig Huber with Huber Research Partners. You may go ahead.
Philippe Krakowsky: HI Craig.
Craig Huber: Philippe, Hi. Quick question, just to go back to the cost outlook for next year, let's say hypothetically -- not making a big bet here. Let's assume next year's organic revenue was flat. Ellen I'd love to hear what leverage you think you could pull to potentially keep your margins flat next year in a scenario like that? Do you have much leeway to be able to do that?
Ellen Johnson: Hi, Craig. Sure. If revenues were flat given that scenario it clearly would be our objective to be able to maintain our margins. The things that I would point to that give us line of sight is we're an experienced managed team that has navigated together through many economic environments. As Philippe has pointed out we have a flexible cost structure right between open reqs attrition temp help and incentive comp which vary closely with performance. All those things will help. And then ultimately it will depend upon the revenue mix the cost of that right? But it's something that it would clearly be in our objective and we think we have line of sight to.
Craig Huber: Great. That's all I had. Thank you.
End of Q&A:
Philippe Krakowsky: Thank you. I think we are out of time. So thanks again all for your time and interest. We are back at it. And we look forward to sharing with you how we can close the year.
Operator: Thank you. This concludes today's conference. You may disconnect at this time.